Operator: Thank you for standing by, and welcome to the GrainCorp Limited FY '25 results. [Operator Instructions] I would now like to hand the conference over to Mr. Robert Spurway, Managing Director and CEO. Please go ahead.
Robert Spurway: Good morning, everyone, and again, welcome to the GrainCorp Results Call. This morning, we're presenting from Sydney, and I start today by acknowledging the Gadigal people of the Eora Nation and paying our respects to elders past and present. If I refer you to Slide 4 of the pack for today's agenda, I'll provide some updates to start with, including our financial year '25 highlights, strategy and growth, financial performance will be covered by Ian Morrison. We'll update you on the balance sheet and capital management and provide some comments on the outlook ahead. For those following online, I will share with you the page numbers as we go through the presentation. So starting on Slide 5. Our financial year '25 underlying EBITDA of $308 million was a lift on the prior year. We saw total grain handled of 31.6 million tonnes and recorded a record, again, in oilseed crush volumes. We've seen improved contribution from our Animal Nutrition and bulk materials sectors. And it really demonstrates we are controlling what we can in the business. That's especially so given the financial year '25 operating context, which as we updated at the half year has shown strong global production from all supply regions around the globe, meaning that Australian grain has had to compete for its place in the world. What that means is customers have been subdued in their purchasing behavior and growers who are experiencing relatively weak grain prices haven't been that willing to sell. It demonstrates again that GrainCorp given the strength of our result is responding really well to that global environment. We're finding opportunities and delivering on them where they exist. What that's created for GrainCorp is a really strong balance sheet. We have $321 million in core cash and including the $0.24 interim dividend that brings total dividends fully franked for financial year '25 to $0.48 per share. We've also completed $38 million of the $75 million share buyback. Let me turn now to Page 6. This is the numbers slide, and you can all read it more quickly than I can share it with you. It does highlight though what I've covered in that introduction. Pretty much across the board and financial metrics, we've seen an uplift on the prior year with that underlying EBITDA up to $308 million, the underlying net profit up to $87 million, and the strong core cash position of $321 million. Ian will talk you through the drivers behind that and the segment performance shortly. But before doing so, I just want to touch on some other highlights across other areas of the business and provide you with an update on our strategic progress. Moving to Slide 7 on health and safety. We always strive for zero-harm at GrainCorp as a large and operational business that's at the center of our values and what we do internally. We've, over the last 12 months, strengthened our critical risk frameworks, which has seen reduced critical incidents in areas like confined spaces, mobile plant and bunker management. And I think that highlights the sort of operations that we have across the board. So while it's disappointing to see a slight increase in incidents recorded through the year, our overall trend is in the right direction, and we are focused on delivering that zero-harm goal in everything we do. On Page 8 of the presentation, I share with you both the challenges and the opportunity of the climate transition and sustainability. I'd describe it as a real opportunity for the agriculture sector and GrainCorp sits at the center of that opportunity, and we're leading in the sector, connecting growers and customers. Over the last 12 months, we've had our near-term targets approved and set through the Science-Based Targets Initiative. That results in a 42% reduction in absolute Scope 1 and 2 emissions by 2030 with a road map in place to deliver that. We've also had Scope 3 forest land and agriculture emissions approved out to 2034. So to some extent, that defines the challenge. We're demonstrating the opportunity through initiatives like GrainCorp Next. For those of you that follow us, I've spoken about that before, it really is an initiative that connects growers with customers around the world and demonstrates our ability to deliver on a low-carbon supply chain, principally in our canola end-to-end value chain. It's allowed us to measure on-farm emissions and support growers in that respect. We have demonstrated best technology and practice and operational emissions reduction across our processing assets and logistics and that's allowed us to engage with end global customers to deliver that opportunity, both for growers and GrainCorp into the future. At the same time, we're making progress in areas like improving our energy efficiency by over 2.5% over the last 12 months, reducing dust and damaged grain to landfill. We've reached a milestone of 1 million kilograms of tarps recycled, and we've got formalized commitments in the sustainable packaging area. All of those areas and many more are covered in our sustainability report for 2025, which has also been released today. And I do commend that report to you to cover, as I said, all of those areas and many more. Moving to Page 10. Our GrainCorp vision and strategy is about delivering sustainable growth through the cycle. We described that in 3 key areas around enhance, expand, and evolve in terms of the way we look at growing our business. Perhaps Page 11 is a really important way to start looking at that, where we talk about the macro trends that we're exposed to and the macro trends that, quite frankly, provide the opportunity and the positive outlook we have for GrainCorp into the future. We're continuing to see growing demand in population across our key markets across Asia and our export capability and infrastructure is set up to meet that demand. We're also seeing quite strongly increasing supply on the East Coast of Australia as farmers employ technology and innovation to improve their practices over time. The 10-year rolling average for East Coast production improvement is at least 2.8% on a compound annual basis. So that increased production also supports the utilization of our assets as we meet that growing demand. GrainCorp is also really well set up and well protected through the diversification of the markets that we operate in. And I think that's demonstrated really well in the top right-hand side of Page 11. And another trend we're seeing across Asia, in particular, in the emerging economies is that real growth and demand for nutrition and protein and our animal feed business is exposed and aligned to the benefits that, that trend is delivering. I'm going to cover Page 12 fairly quickly because over the next few slides, I'll go into some details and some examples on how we're delivering on enhance, expand and evolve. We have invested in our country network and our business more generally. We're seeing growth from the investment we've made in Animal Nutrition and across our Nutrition and Energy business more generally. And we continue to progress our business transformation and deliver benefits from that, and I look forward to sharing those with you shortly. Moving to Page 13 to look at that enhance area, and the investments and improvements we're making in our up-country network across our Agribusiness. At the half year, we spoke about the rail upgrades at Condobolin and the benefits that brings in terms of the efficiency of sites like that. It's one of several examples across the network. Over the second half and ahead of the harvest that's now underway, we've completed a $5 million upgrade at our Burren Junction site. I was in Northern New South Wales last week, and it was great to see those bunkers in operation and the opportunity that provides to receive more grain from growers in that region. It improves our segregation and storage capacity and improves the service and value that we can provide to growers and then pass through our network. We've also improved turnaround times and capabilities ahead of this harvest with $8 million invested in new grain stackers. Just for those that aren't familiar with the operation of our business, the grain stacker allows us to more efficiently unload growers trucks and put it on our bunker storages. The ones we've got improve efficiency, improve the truck turnaround time and provide greater mobility of assets across our East Coast network. As the harvest rolls South, we'll be moving that equipment around so that many growers across our network benefit from that investment and improvement. Again, when I was in Northern New South Wales last week, it was great to talk to growers and hear the positive feedback on their experience in response to those new investments. On Page 14, at the last year's annual results for the first time, we shared with you and disclosed the contribution margin from our bulk materials business, demonstrating the diversification and utilization of our extraordinarily valuable port assets. I'm delighted to share with you today that, that progress has continued with contribution margin increasing to $41 million through 2025. We shared with you that our focus in the future continues to be on disciplined investment in that infrastructure to further increase efficiencies and free up capacity to expand our customer relationships and pursue opportunities that improve the mix and margin of the non-grain products we handle through our ports. Throughout 2025, we've been undertaking a strategic review of our GrainsConnect joint venture in Canada. The update on that is shared on Page 15. And as a result of that ongoing review, we have taken an impairment of $26 million in the carrying value of that asset. We do expect to provide a further update in the first half of '26 on our strategic review, but we would comment that over the last several years, Canada as a market has experienced some difficult and challenging trading conditions. Domestic capacity and expansion alongside the global margin environment has impacted end-to-end margins in that market. And whilst we're pleased on an ongoing basis with the operational performance and quality of our assets, and the fact that the current season shows signs of improvement, we are keen to ensure that we operate that business and set it up for success in the best interest of GrainCorp shareholders into the future. As I said, we'll provide an update over the first half of '26. Moving across to Page 16. This really is about expand, and it highlights the investment and the growth in our Nutrition and Energy portfolio. Not only are we seeing the growth there at -- in the results already, we're setting ourselves up for future growth through investment in our integrated value chain. We're undertaking improvements in our oil -- edible oil refining capability, our West Footscray foods plant. That will lower operating costs and improve product quality for customers. It will also reduce greenhouse gas emissions and represents an investment of between $25 million and $30 million, phased over financial year '26 and '27. We've spoken several times over recent result periods about our focus on the Animal Nutrition area, and I'm pleased to report that sales have increased between '21 and financial year '25 by 83% from 390,000 tonnes up to 713,000 tonnes. So not only are we seeing the bottom line impact of that flow through earnings, but it is underpinned by really strong fundamentals and growth in volume, including our acquisition of the XFA business, which continues to outperform its business case. And the expansion of that and our existing liquid feed and dry-lick business provides opportunities for the future. In Agri-Energy, as you all know, we are in an MOU with Ampol and IFM, and we've been working closely with our partners on developing the end-to-end value chain for the development of feedstocks into biofuels in Australia. The recent federal government commitment of $1.1 billion for the Cleaner Fuels Program and $250 million to the Made in Australia Program demonstrates the improving environment and the confidence we have in our strategy in that area into the future. Moving to our business transformation program. Much of which is initially focused around our Nutrition and Energy business. I'm pleased to share with you today some further detail on the benefits that we see from that program but I just want to recap on the rationale for the program first. It is a business-wide transformation designed to unlock efficiencies and drive value across our integrated value chain. It includes an opportunity to address an end-of-life version of SAP and delivers a stronger business for the future. Where we're at in the program is about 90% of the build of the technical aspects are complete, which means we're moving into the testing and deployment phase. The progress has been slowed and had some challenges, but remains on track to complete now in the second half of '26 rather than the initial planned first half of '26. What that means is a slight increase over our previous estimate of $15 million and the cost for the program going forward. So although it's being derisked that slightly extra time is adding to the cost, but we're confident in our progress in the year ahead and the derisking we've been able to achieve. In parallel, we've been working on the benefits that the program will achieve. And I'm pleased to share with you today the targeted run rates for the end of financial year '26 and the benefits beyond that. The early-stage benefits we're seeing starting to flow are estimated to be $5 million to $10 million by the end of '26 and are focused on areas like labor productivity and procurement savings initially. What we're seeing is the benefit of the overall end-to-end program, identifying opportunities and those flowing through to that commitment of $20 million to $30 million in uplift as a program complete. At this point, I'm going to hand across to our CFO, Ian Morrison, who will talk you through the financial updates and performance. Thanks, Ian.
Ian Morrison: Thanks, Robert, and good morning, everyone. I'll start on Slide 19 and summarize financial performance for FY '25. At a headline level, our Agribusiness segment, is up from $162 million last year to $218 million this year. And that's largely off the back of improvements in East Coast Australia crop production, which I'll touch on more shortly. . Nutrition and Energy segment, that's slightly down year-on-year, and that's mainly as a result of lower crush margins. Other headlines, as Robert noted before, and we have recorded a noncash impairment of $26 million relating to the investment in GrainsConnect Canada. And last item, I'll just touch on briefly on this slide is net interest costs. So they are up year-on-year, and that largely reflects higher commodity values on our -- and volumes off the back of our commodity inventory funding. Now I'll move on to Slide 20 to provide further detail on the Agribusiness segment and in particular, starting off with East Coast Australia business. So as I touched on, we did see total ECA crop production of 34.7 million tonnes in FY '25, increasing from the 26.1 million tonnes in the prior year. And a feature of that crop production was stronger production in the north in Queensland and Northern New South Wales, in particular, partly offset by lower production in Victoria. In terms of total grain handled that led to a result of 31.6 million, up from 28 million in the prior year. Carry-in into FY '25 of 2.5 million supported that, but that was lower than the carry-in coming into FY '24 of 3.9 million. A feature of the results that we talked to back at the half year was the opportunity the business took to really capitalize on better margins across commodities, including chickpeas and canola seed in particular. So that was really good opportunities captured by the business. A key element I just wanted to touch on in the results as well as the impact of the Crop Production Contract, so the total impact to the P&L is $41 million in the results, and that's including the $6 million annual and premium payment. And the overall cash impact was a payment of $58 million under that contract. But the key highlight to call out, though, is that, that payment in FY '25 means that we have reached the total half on the contract. And so that means for the remaining 4 years of the Crop Production Contract, there will be no net payments by GrainCorp. And we still of course, to retain the opportunity under the contract in the downside protection in the event of drought. And so from an overall perspective, that leaves us in a strong position with the protection of that contract. And lastly, as Robert touched on earlier, really pleasing performance in our bulk materials business with our continued trajectory of improving contribution margins. I'll now move on to Slide 21 and touch on our International business. So starting off with Western Australia, we did see a strong increase in crop production in WA this year with a 55% increase on the prior year and well above the 5-year average also but the global conditions we've seen did negatively impact margins out of that market. That's with the strong competition from many other regions. So we did see a decrease in earnings out of our international business and in particular, WA this year. And as Robert touched on earlier, we've continued to see those challenging conditions experienced out of Canada, partly off the back of those strong global production conditions, limiting opportunities but also some of the specific factors within Canada also. I'll now move over on to Slide 22 and our Nutrition and Energy segment. Our crush volumes reached another record in FY '25 with total volumes of 557,000 tonnes, up 3% on the prior year. And that reflects a good focus on operational efficiencies. And a key feature this year was really good restart time from the annual maintenance shutdown we have at Numurkah -- at our Numurkah plant. In terms of crush margins, as we touched on earlier in the year, they have been below what we've seen in recent years, and that's been impacted from a few factors, partly the smaller Victorian canola crop with the weaker crop conditions in Southern regions and but also strong global supply from a large soybean crop we've seen in a number of regions. And then the last item to touch on here is we did ceased processing of edible oils at East Tamaki plant this year following the strategic review in FY '24 and have consolidated manufacturing into our West Footscray plant in Melbourne. Over to page on 23, Animal Nutrition has been a real highlight in the results with strong growth in volumes, as you can see in the chart on the right. That, of course, is benefiting from a full 12-month run rate of the XFA acquisition we completed last year compared to 6 months in FY '24, but underlying sales volumes also grew across our preexisting business, which is pleasing to see. And then from an XFA business point of view that delivered a 12-month run rate EBITDA of $14 million, and that continues to outperform the business case and continues to support investment we continue to make in that segment overall. And then just touching on Agri-Energy. Volumes remain strong and similar to prior year with good volumes across both tallow and used cooking oil. But renewable fuel feedstock demand has continued to be impacted by some of the uncertainty around U.S. biofuel policy and that has had a modest impact on margins year-on-year. I'll now just move on to Slide 24 on corporate costs. Underlying corporate costs are in line with the prior year, and we continue to stay focused on disciplined cost management. And then in terms of spend on growth projects, that continues to mainly represent our ongoing work on the oilseed crush feasibility. And the business transformation costs noted on this slide are the OpEx costs of $30 million and that increase year-on-year is, of course, as we've moved from the design phase during the course of FY '24 into implementation this year. I'll now move to balance sheet and capital management and starting off with Slide 26. So we finished this year with a strong core cash position of $321 million. That's up from $296 million at the half year and slightly down from the $337 million at last year-end. Also just touching on the slide, we took the opportunity recently to extend the maturity of our term debt from March '27 out to November 2028. And that's on the principal of $150 million, which remains unchanged. Overall, our balance sheet is in a very strong position, which allows us to continue investing for growth while also providing strong returns to shareholders. Now moving on to CapEx on Slide 27. The total capital expenditure of $77 million in FY '25, includes sustaining CapEx of $59 million that sustaining CapEx is slightly above the target range of $40 million to $50 million, and that just reflects higher spending in an above-average crop year, partially on investments across our up-country assets that Robert touched on earlier, but also in areas like tarpaulins with those higher volumes we saw in FY '25. We are also anticipating to see CapEx higher in FY '26, and that's partially as a result of the upgrade we're undertaking at our West Footscray plant in relation to edible oil refining capability. On the right-hand side, D&A is broadly in line with FY '24 and continues to stay steady. Now moving on to shareholder returns on Slide 8 -- Slide 28. As Robert noted earlier, the Board has declared a final dividend of $0.24 per share, fully franked, made up of an ordinary dividend of $0.14 per share and a special dividend of $0.10 per share. This takes total dividends in FY '25 to $0.48 per share, and that's in line with the previous year. Also during the year, we completed a $38 million of the previously announced $75 million share buyback. And overall, this year continues our strong record of capital management and positive returns to shareholders. We'll continue to assess capital management against growth opportunities across the business in line with our capital management framework. On that note, I'll now hand back to Robert.
Robert Spurway: Thanks, Ian. Towards the end of the presentation, now at Page 30, I'll provide some comments on the outlook. As many of you will be aware that ABARES in the September update forecast an East Coast crop for the harvest that's now underway of 30 million metric tonnes with conditions demonstrating to be more favorable in Queensland and Northern New South Wales. And we're certainly seeing that coming through in strong yields from that area in the early harvest performance, which I'll touch on in a moment. Given a dry finish in Victoria, the -- and changes in grower planting profiles, they were forecasting an 11% reduction in the East Coast canola crop. And I would add that ABARES will again update the current crop in early December. With harvest now well underway across the country, we've seen strong receivables to date of 4.2 million tonnes across our network. And pleasingly, exports are also underway with 0.5 million tonnes exported already in the financial year. We do see global grain and oilseed supply remaining relatively strong. And that means the outlook for margins is broadly similar to what we've seen through financial year '25. Like last year, that creates the opportunity for GrainCorp to continue to find and deliver on the opportunities that are there. And as we've done so in recent years, we'll be providing earnings guidance at our AGM in February. Just to recap and in conclusion on Page 31. We've delivered improved underlying EBITDA of $308 million in financial year 2025. We've completed and delivered several initiatives to increase volume and efficiency across our network, and we continue to invest and deliver on growth across our business more generally. We've got a very strong balance sheet with core cash of $321 million. And as Ian has just recently touched on full year dividend, fully franked, of $0.48 per share on top of the $38 million returned via share buyback. We are continuing to deliver on our promises of investing in the business, providing strong returns to shareholders managing what we can and setting the business up for future growth. Thank you for your support and interest. I'll now hand back to the moderator for any questions.
Operator: [Operator Instructions] Your first question comes from Owen Birrell with RBC.
Owen Birrell: Just in the interest of time, just my 1 question, really around that comment that you've stated that you see the outlook for margins to be broadly similar in '26 to '25. I just want to align that with the comment around the East Coast canola crop being 11% down into this current harvest. Just wanted to get a sense as to what you think the canola crush spreads are going to look like next year if the Victorian supply is 11% down on essentially where we were this time last year.
Robert Spurway: Thanks, Owen and I'll hand to Ian, who will answer that question for you.
Ian Morrison: Yes. Thanks, Owen, for the question. In terms of that 11% estimate from ABARES in terms of the canola crop, although it is a bit down year-on-year, that still generates an exportable surplus overall of canola seed. So at that level, it's a relatively modest impact overall on crush margins and the broader factors that have -- of course, it's one of the legs that has an impact, but meal demand and then vegetable oil values in general also have an impact. So it's a combination of those factors. And although it is early in the year, we would expect crush margins to stay at similar levels to FY '25 at this stage.
Robert Spurway: The other important factor, Owen, that I touched on is the record crush volumes that we're doing. So we would expect that to continue as well. So although the margin environment over the last couple of years, has been down on what we saw in years prior to that. We are offsetting that to some extent through the improvement in volume through the plants. .
Operator: Your next question comes from James Ferrier with Canaccord Genuity.
James Ferrier: What's the setup in FY '26 in relation to export opportunities around chickpeas in particular and maybe also canola seed given they both were tailwinds to varying degrees to your earnings in FY '25.
Robert Spurway: Thanks, James, there are still opportunities, and we are exporting both canola and chickpeas in the early part of the program this year. As we said at the half year, the opportunities on commodities vary from year to year. And I think we called out canola and chickpeas as 2 specific examples of where we've seen opportunities in the market, we've been able to capture those opportunities and execute on them at a time in the year that made most sense in terms of extracting the maximum margin. As we look at this year, as I said, there are still opportunities on those commodities. But I think the broader picture is important that we'll be looking at where opportunities may emerge on whether that's wheat, barley, feed wheat versus milling wheat, canola and chickpeas. So all the time, we're looking at where those opportunities are, which markets make more sense. And I think the quality and the scale of our infrastructure allows us to respond to those opportunities very quickly and deliver that margin. So that's the way I think we'd look at it broadly going forward, really not much more to add than that at this point in time, James.
Operator: Your next question comes from Ben Wedd with Macquarie.
Ben Wedd: Just turning to sort of that receivables comment there, where you've noted 4.2 million tonnes of receivables. I think sort of looking back to last year, we were sitting at about just over 5 million tonnes. So I'd just be interested in many comments around sort of the change in pace of those receivables and how you're sort of seeing that moving forward over the rest of harvest?
Robert Spurway: Yes. Really, no 2 harvests are the same, Ben. So I'd strongly urge all of you not to consider that too much. If you look at the shape of the curve, it's very similar, give or take, what we've seen on average over the last number of years. And typically, the pace of early harvest depends on the prevailing weather conditions this year, to the extent there is anything normal, it's probably what we'd see as a more normal curve in terms of uplift versus last year. . If I recall, there was a very dry finish in the north and harvest started to come in earlier in Northern New South Wales and Queensland than it has this year. Where we're at right at the moment is we're fairly well advanced in Queensland and including Southern Queensland. I'd say we're well underway in Northern New South Wales, but really getting into Southern New South Wales and Victoria harvest is yet to commence across many of those regions. So long answer to a pretty simple question. There really is just no relevance in the comparison. The commentary I'd provide, though, is that there are no 2 years the same. The harvest is progressing almost exactly as we would have forecast it based on the conditions we've been seeing over the last number of months. .
Operator: Our next question comes from Richard Barwick with CLSA.
Richard Barwick: Can you just talk about GrainsConnect. So obviously, another disappointing results for earnings down or down by more in FY '24, obviously you've taken the impairment. So the -- I guess 2 questions part of the impairment. What does that actually deliver? What does the impairment mean? So for example, could we see a reduction in the D&A that got flowed through. So do we get an earnings benefit from this impairment? And is there a risk of further impairment given that the strategic review is yet to be completed?
Robert Spurway: Ian, I'll get you to talk to that.
Ian Morrison: Thanks, Richard. In terms of the D&A part, because it's equity accounted, we pick up results from that perspective. But with this impairment, that brings down to effectively a 0 cutting value. So we wouldn't be booking the -- any ongoing gains or losses effectively. While it's impaired to that amount, we'll still, of course, track that closely, but that's how it would affect the P&L initially at least. . And in terms of further risks, it will really depend on how conditions continue to perform in Canada and what we see as the outlook. And that is a level of better optimism for the season ahead just with a better crop. So that will hopefully see a bit of an uptick in performance. And then in terms of any further exposure, it will partly depend on the cash performance ultimately of the business. .
Operator: Your next question comes from John Campbell with Jefferies.
John Campbell: Just with your comments and excuse me if this question has been asked because I came in a little bit late. But just your confidence around the margin environment for FY '26, given global supply seems to be continuing to make records. Yes, I mean, how much sort of risk, I guess, around that part of your outlook commentary.
Robert Spurway: Yes, we have made some comments on that already, John, but I'll expand on those a little. Broadly, what we're saying is we expect that the margin environment is going to be similar in the year ahead to the year previously. I think in terms of your question, therefore, by definition, there's not a whole lot of risk to that. Ultimately, the underlying demand is there. So the fundamentals for our business remain strong. We're seeing good demand, particularly across Asia, but across global markets correlated to population and the need for food, but also increasingly a correlation to a growing demand for fuel feedstocks, particularly in the oilseed space. So what we'll be looking to do is access those margin opportunities at the times of the year that make most sense on the commodities that we handle. I think that's where our assets come into their own in terms of the agility and responsiveness we're able to make to those margin opportunities. And if you listen to the global commentary, what we're saying is very consistent with what you're hearing coming out of global markets and other major grain operators. So summing up the question, not a lot of downside risk. We'll be continuing to look for opportunities. And we'll be watching as the year proceeds the development of the next Northern Hemisphere season crop. That's likely to be the next major catalyst for potential for disruption and a reset to the margin environment.
Operator: Your next question comes from Jonathan Snape with Bell Potter.
Jonathan Snape: Just 2 questions, if I can. One around all the moving parts because obviously, you've got the CPC not coming through next year. You've written down the Canadian business. So I'm assuming you are not going to take $15 million in losses, that's kind of a 0 number. So all things being equal, if it was an identical season, you should be, what, $50 million, $55 million better off, I assume you're not going to be paying the annual fee anymore? And then just secondly, following on from that, with the through the cycle number, the $320 million, if memory serves me, there was a contribution in there assumed from Canada somewhere around the kind of $10 million mark, if memory serves me correctly. With that now carrying at 0, is it the cost out is kind of mitigating that contribution? Or is that still in the TTC, i.e., you might write it back up again.
Robert Spurway: Look, thanks for the questions. We'll count that as one question, Jonathan, so you're not accused of getting 2 answers by your peers across the industry.
Jonathan Snape: 2 subsections.
Robert Spurway: And also cognizant of the fact that we're not providing guidance at this point. So we can provide some directional comments around the way you should think of the business. Of course, although we're relying on the ABARES forecast, there is some time to go before our volumes are fully known for this year. I've touched on the fact that we're seeing fairly favorable conditions come through in Northern New South Wales and Queensland. We're less certain about what Victoria, looks like at this point because the harvest there is yet to start. But all things being equal, volumes down a little bit. Margins are similar. And as you indicated, there's a number of changes we've made in the business that will provide for some upside opportunity, including the benefit of the CPC. There's probably not a lot more we can say from a quantitative point of view. And I'm not going to comment on the math you were doing in your head there, other than to say, qualitatively, that's not a bad way to look at the business. But Ian, you might be at a bit of color, particularly around Canada and those sorts of more detailed aspects.
Ian Morrison: Yes. Just 1 point to add, Jon, is the annual premium under the crop production contract will continue to be paid. So that's $6 million. So from a P&L impact this year of $41 million, is a $35 million excluding the premium and $6 million with the premium. So that was one item to call out. And as Robert touched on in terms of looking at it year-on-year and East Coast volumes based on ABARES would be a bit lower, obviously, still quite a strong crop but a bit lower than last year's overall crop. So those are kind of the moving parts relative to the CPC and GrainsConnect Canada. And probably the last item to touch on that is international was a bit of a drag on earnings this year more broadly, partly off the back of the margin environment, too early to predict exactly where that goes. But the overall conditions remain relatively similar. So that's one of the key factors we'll be watching closely as well in the overall mix. And then last item to touch on from your question around through the cycle. So our Canadian joint venture was included in our through the cycle at just under a bit under $10 million, not quite at $10 million, but not far off it. But in terms of overall through the cycle, what we have been seeing is outperformance in a few areas now that are likely mitigating that. So 2 items I've touched on particularly would be bulk materials and the continued improvement there. And then also Animal Nutrition, we did add $10 million to our through the cycle from the purchase of XFA. But as you'll have seen in today's update, it's delivered $14 million, and we do continue to invest in growth of capacity in our overall Animal Nutrition business. So we are seeing some positives as well, which we'd expect to largely offset some of those headwinds we touched on.
Robert Spurway: In the appendices of our pack on Page 40, we spelled out the historical performance of the business and highlighted that without the impact of the crop insurance costs over the last few years. We restated the numbers to demonstrate that we're delivering well above through the cycle in each year and on average, significantly above that at $423 million. So we can certainly talk about that in meetings over the course of the next number of days. But Slide 40 in the appendix is perhaps a good one to look at through the cycle followed by Slide 41, where we've highlighted the breakdown and the way we look at through the cycle. .
Operator: Your next question comes from Scott Ryall with Rimor Equity Research.
Scott Ryall: Robert, just a quick question on Agri-Energy and looking forward. You talked about progressing your MOU targeting a FEED phase in 2026, which obviously is a more costly phase than pre FEED than what you're doing at the moment. Could you just comment -- you made a comment on the cleaner fuels program and the commitment of government. Is that enough -- in your mind, is that enough to actually activate the industry in Australia or what else needs to be done? And maybe you could just give some color around your view there?
Robert Spurway: Yes. Sure, Scott. Really great question. We've been delighted to have a seat on the Jet Zero Council, which has kept us very close to the whole value chain in our work with government. So that's allowed us both to be involved in the formation of policy, but also to advocate for the policy positions that will be required. We're doing that in conjunction with our MOU partners because we recognize that for this value chain to work, all parts of the sector need to ultimately see a way towards a profitable and sustainable business cases for investment. I think in answer to your question, the financial commitments by the government go a long way towards confidence in the sector and the commitment the government has. Of course, it remains to be seen how that commitment will flow through to support for individual projects. What we [ say ] more broadly is I think everyone sees the benefit of this and the economics of it in the medium to long term, particularly as carbon pricing goes up and particular in sustainable aviation fuel where airlines have no other way to decarbonize. You might have seen news in the headlines this week around Singapore moving forward on its mandate for any aircraft flying out of Singapore to be using a portion of SAF. And the fact, that there'll be a very small our ticket price burden on passengers to fund that. We think those sorts of mandates may well make sense to help bridge the gap over the near term of where Australia is versus the long-term profitability and sustainability of the sort of investment that we're proposing to make to provide feedstock to the likes of Ampol and IFM who will service the end customers, especially in the sustainable aviation fuel sector.
Operator: Your next question comes from Owen Birrell with RBC.
Owen Birrell: Sorry, just a quick follow-up question. Just looking at the margin environment, again, you called out, I guess, in the Agri Business, lower end-to-end margin compression. Are you able to give us a sense as to where in the value chain you're seeing all of that margin compression. Are you seeing it in the, I guess, the purchasing side from your growers? Is it in the export margins? Is it in the storage margins? Or is it purely in the marketing international? Just wondering to get a sense of where is the highest competition that's creating that margin compression across the margin chain.
Robert Spurway: Yes. So the endpoint in Global Markets, but I'll let Ian talk to that.
Ian Morrison: Yes. Owen, it's largely export margins from the way we would think about it because what's driving that, though, is partly behavior on the selling side does have an impact, of course, because that's one aspect overall that impacts level of purchasing you can get. And then on the demand side, from our customers when you've got generally lower prices and plentiful supply. The demand is more hand to mouth. So it's almost at both ends of the value chain is what's having an impact if you're the owner of assets and the commodity owner of the grain in between, and that does result in that margin pressure compared to what we've seen in recent years. And one other factor that, that leads to is more of a caddy market where grain prices are worth more in the future than they are today. So that leads to some of those behaviors and ultimately, has that impact on constraining margins. So pretty typical of what you can see in this type of environment and somewhat related to the overall conditions of global supply really. .
Owen Birrell: So can I ask just in terms of the competition for I guess those export volumes out of Australia, are you seeing more competition by traders here?
Robert Spurway: Short answer is no. Owen, it's really is somewhat -- to some extent, constrained by the production of grain in Australia. The competition we talk about is from other global supply market. So the market is behaving, I guess, it's in a rational way, exactly the way you'd expect it to behave with plantable supply growers globally, being less than, super excited about the prevailing prices. So they're not inclined to engage, and that creates fairly benign conditions in the market. What I would say, and it's important to remember that the fundamentals are still there. Demand remains. In all likelihood, there will be a supply shock at some point because historically, we've seen that occur around the globe, particularly in a globe with more volatile weather. Stocks-to-use ratios globally remain at historically low levels. So the opportunity for margins to grow quite quickly exist in the event of a disruption to global supply. So that sort of volatility and the kind of things that we'll be looking for to access margins right throughout the year, just as we did last year on chickpeas and canola and other commodities as well. We'll be doing the same again this year.
Operator: Your next question comes from Ben Wedd with Macquarie.
Ben Wedd: Yes. Just one for you there, on the net working capital side on Slide 45. It looks like a fairly large dip into the full year there. So just wondering any comments you can sort of make around that and sort of what that sort of implies for the year ahead?
Ian Morrison: Yes. No, happy to comment on that. Good question, Ben. So dip off is really normalizing of working capital. We did see -- and I touched on it at the half year, a bit of a higher peak and also last year in to be fair, it was slightly higher. And so with the slightly lower commodity values and typically, we do see that dip off at the balance date or closer to the balance date. But we'd expect where we finished this year to be a more typical level of working capital relative to what we've seen in recent years.
Operator: Your next question comes from Richard Barwick with CLSA.
Richard Barwick: Can I just clarify, I think just trying to get my head around the international piece. I think you said, Ian, that what's your wording, that was a drag on earnings this year. So we know it went backwards, obviously, but does that actually in terms of relative to year before, but does that mean it actually had a negative contribution so it was loss-making this year, you can just confirm that?
Ian Morrison: Yes, very modestly. This is a quick answer, Richard.
Operator: Your next question comes from John Campbell with Jefferies.
John Campbell: My question has already been asked. Thanks very much.
Operator: There are no further questions at this time. I'll now hand back to Mr. Spurway for closing remarks.
Robert Spurway: Look, again, thank you, everyone, for your interest in the company. We look forward to meeting with many of you over the course of today and the next few days. To recap, GrainCorp's in an extraordinarily strong position with core cash balance of $321 million. We're continuing to deliver what we said we would in terms of growing the business, investing in the business and providing significant returns to shareholders through the dividend and the buyback. And year-on-year, we've increased our earnings at an underlying level to $308 million. Thanks again for your time. We look forward to catching up with you through the next few days. .
Operator: That does conclude our conference for today. Thank you for participating. You may now disconnect.